Operator: Welcome to IDACORP's Second Quarter 2015 Conference Call. Today's call is being recorded and webcast live. A complete replay will be available from the end of the day for a period of 12 months on the company's website at www.idacorpinc.com. [Operator Instructions] At this time, I'd like to turn the call over to IDACORP's Director of Investor Relations, Mr. Lawrence Spencer. Please go ahead.
Lawrence Spencer: Thank you, Liz, and good afternoon everyone. As you've probably seen, we issued our earnings release and Form 10-Q before the markets opened today. They're both posted to the IDACORP website. We will be using a few slides to supplement today’s call, and you can also find those on our website. We'll refer to those slides as we work our way through today’s presentation. On today’s call we have Darrel Anderson, IDACORP’s President and Chief Executive Officer, and Steve Keen, IDACORP’s Senior Vice President, Chief Financial Officer and Treasurer. We also have other individuals available to help answer your questions during the Q&A period. Before turning the presentation over to Steve, I’ll cover our Safe Harbor statement on Slide 3. Our presentation today will include forward-looking statements. While these forward-looking statements represent the current judgment or opinion of what the future holds, these statements are subject to risks and uncertainties that may cause actual results to differ materially from statements made today. So we caution you against placing undue reliance on these forward-looking statements. Some of the factors and events that could cause future results to differ materially from those included in forward-looking statements are listed on Slide 3 and included in our filings with the Securities and Exchange Commission, which we encourage you to review. On Slide 4, we present our quarterly and year-to-date financial results. IDACORP’s second quarter 2015 earnings per diluted share were $1.31, an increase of $0.42 per share from last year’s second quarter. For the first six months of 2015, earnings per diluted share were $1.78, $0.35 greater than the same period in 2014. I'll now turn it over to Steve to discuss the results in greater detail and review our 2015 key operating metrics.
Steve Keen: Thanks, Larry, and good afternoon everyone. On Slide 5 we show a reconciliation of earnings from second quarter 2014 to second quarter 2015. As you can see, net income over the period increased $21.6 million. This was largely due to improved retail sales volumes, the impact of the fixed cost adjusted or FCA methodology change and the tax benefit of an income tax deductible make-whole premium from Idaho Power’s recent first mortgage bond redemption. The heat wave in our service territory this June combined with dry spring weather resulted in recorded second quarter energy sales. The hot temperatures increased loads for air conditioning and the dry weather increased irrigation pump usage. As a result, operating income increased by $7.8 million. Changes to the FCA mechanism which were approved by the Idaho Public Utilities Commission in the second quarter were retroactive to January 01, 2015. Idaho Power recorded a $7.4 million benefit in the second quarter for the retroactive application of the FCA mechanism change to the first quarter. The calculations under the revised mechanism use sales associated with actual weather conditions as opposed to normalized weather condition under the prior mechanism. During this year’s second quarter, normal temperatures grow greater sales resulting in a $1.7 million decrease in FCA revenues compared to 2014. To help you understand the operation and potential future impact of the revised FCA mechanism which is now sensitive to weather conditions, we have included a discussion in the MD&A section of the 10-Q that we filed today. Customer growth increased revenues by $2.9 million as our customer account grew by 1.7%, also the $7.2 million decrease in income tax expense benefited this quarter’s earnings. As stated on our first quarter earnings release conference call, this resulted from the flow through tax benefit of the make-whole premium Idaho Power paid for the early redemption of first mortgage bonds originally due in 2018 but redeemed this quarter. The combination of these items resulted in a strong second quarter financial results we believe that positions the company well going into the second half of 2015. Moving now to slide 6, we show IDACORP’s operating cash flows for the first six months of 2015 and the comparable period in 2014 along with the liquidity positions at June 30. Cash flow from operations for this year’s first six months was $171 million, an increase of $8 million over the same period last year. Cash flows increased as a result of an $18 million increase in net income as well as from increased coal sales of Bridger coal company for the first six months of 2015, which resulted in a $6 million increase in distributed cash. Decreases in cash flow of $3 million occurred due to changes in deferred taxes and changes in taxes accrued and receivable and the remaining $10 million reduction in cash flows resulted from changes in working capital items such as unbilled revenues and prepaid expenses. IDACORP and Idaho Power currently have in place credit facilities of $125 million and $300 million respectively to meet short term liquidity and operating requirements. The liquidity available under the credit facilities is shown on the bottom of slide 6. Also, there are 3 million IDACORP common shares available for issuance under IDACORP’s continuous equity program. No shares were issued during the second quarter and we do not expect to issue new equity during the remainder of 2015 except for modest amounts relating to employee compensation plan. Turning now to slide 7, we continue to estimate 2015 O&M between $340 million and $350 million and we do not expect to amortize any additional accumulated deferred investment tax credits this year under the Idaho settlement stipulation. The 2015 capital expenditure range for Idaho Power remains between $300 million and $310 million. With the recent rainfall, we are tightening upward our projected hydro electric generation range from 5 million to 7 million megawatt hours up to a range of 6 million to 7 million megawatt hours. Finally, we are increasing our 2015 IDACORP earnings per share guidance range from $3.65 to $3.80 per diluted share up to the range of $3.75 to $3.90 per diluted share primarily to reflect the earnings drivers I mentioned earlier. The upper end of our guidance range is slightly above the 10% Idaho return on year end equity threshold and reflects the potential that Idaho Power could once again share benefits with Idaho customers under the current Idaho regulatory settlement stipulation, gets that level as it takes. I’ll now turn the presentation over to Darrel.
Darrel Anderson: Thanks, Steve, and good afternoon. I want to start today by acknowledging the passing of Idaho Public Utilities Commissioner, Mack Redford. As some of you may know, commissioner Redford passed away on June 30 unexpectedly. The Public Utilities Commission and the State of Idaho have lost an outstanding public servant. Commissioner Redford had served on the commission since 2007 and he was a skilled, fair and thoughtful arbiter from the bench. The Governor of Idaho C. L. Butch Otter announced today that Marsha Smith, a long-time Commissioner for the IPUC, will be re-appointed on an interim basis. In his announcement, he noted that her appointment will be effective immediately and will expire on January 15, 2016. At that time, a new commissioner will be appointed to replace her, pending Idaho Senate confirmation. Marsha Smith served as a Commissioner for 24 years before retiring last February. The two sitting commissioners both have a long history with the Idaho Commission and a deep background in utility issues. Commissioner Paul Kjellander has been a Commissioner since 2011 and previously was Commissioner from 1999 until 2007. Commissioner Kristine Raper served seven years as a Deputy Attorney General at the IPUC before her recent appointment. Now I’d like to move on to a discussion of topics related to the quarter. Last month, Idaho Power filed its 2015 Integrated Resource Plan, also known as the IRP. The preferred portfolio continues to include the addition of the 500 kilovolt Boardman to Hemingway or B to H transmission line which is proposed to run from the Hemingway substation near Melba, Idaho to Boardman, Oregon. The IRP provides for completion of B to H by 2025 which is a date based on a number of assumptions we include in the IRP prospects. We continue to advocate for and work towards an earlier in-service date for this critical resource as an earlier date has a number of benefits that might be lessened if the in-service date is delayed to 2025. Those benefits include increased reliability, mitigation of transmission constraint, environmental benefits from the import and export of renewable energy and lower permitting and construction costs and risk. Because of these benefits we are working for an in-service date as early as we can achieve. Additional components of the potential plan for 2025 and beyond are shown on slide eight, and include the possible early retirement of the North Valmy power plant in collaboration with the plant’s co-owner. Demand response programs, ice-based thermal energy storage and a new combined cycle natural gas plant. The IRP also considers the impact of anticipated power purchases from new solar projects. It is also fair to note that the IRP is a long-term planning tool completed every two years and near-term deviations from the assumptions in the plan could result in modifications to our resource needs. As you’ll see on slide nine, June’s very warm weather led us to near record fee customer demand. On June 30, Idaho Power System load reached 3,402 megawatts which is 5 megawatts short of the all-time record of 3,407 megawatts set in July 2013. It is interesting to note that the 2013 record was set at a time when we did not have any active demand response programs. This year, we had two demand response programs that were deployed on the peak demand day for a total of 67 megawatts. Without the programs deployed, we would have exceeded our all-time peak load level. Idaho Power continues to expect strong customer growth in the service area in the near-term and remains supportive of economic development initiatives aimed at sustainable levels of growth. During the first six months of 2015, Idaho Power’s customer count grew by over 4,500 customers and for the 12-month ended June 30, 2015 the customer growth rate was 1.7%. This is shown on slide 10. According to preliminary Idaho Department of Labor data for June 2015, total employment in the service area was more than 474,000 compared with around 460,000 at the end of last year, an increase of over 3% in the last six months. The unemployment rate for our service area was 3.9% compared to the June 2015 U.S. unemployment rate of 5.3% according to U.S. Department of Labor data. Another key economic indicator is expected growth in gross area product. Moody's Analytics has stated that as of June 2015, the anticipated growth in gross area product for Idaho Power service area for 2015 and 2016 is 4.6% and 5.4% respectively. These are up from this year’s first quarter estimate of 3.2% and 3.8% of 2015 and 2016 respectively, representing an increase of over 40% in the estimated growth rate. Further evidence of our economic development potential is found in a six county region known as the Magic Valley located in the South Central Park of our Idaho service area. This area was selected as a top 12 U.S. manufacturing community under the investing and manufacturing communities partnership initiative sponsored by the U.S. Commerce Department. As a result of this federal designation, a number of significant benefits may be available to Southern Idaho including support from 11 federal agencies and more than $1 billion available in federal economic development assistance. Also this month, Idaho is recognized by Kiplinger as number three on the list of 10 states with the fastest job growth in 2015. We view all of these to be positive economic indicators in our service area that we expect will help drive load growth. Finally, I will touch on our weather outlook heading into fall as reflected on slide 11. For August through October, according to Nova, we are looking at a 33% to 40% chance of above normal precipitation and a 40% to 50% chance of above normal temperatures in much of our service area. And with that, I and others on the call will be happy to take your questions.
Operator: Thank you. Ladies and gentlemen, we will begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Paul Ridzon with KeyBanc. Your line is now open. Please go ahead.
Paul Ridzon: Good afternoon, congratulations on the quarter.
Darrel Anderson: Thanks, Paul.
Steve Keen: Thanks, Paul.
Darrel Anderson: Appreciate that.
Paul Ridzon: Have you booked any provisions for refunds at this point or do you need to get through the quarter behind you?
Steve Keen: Paul, at this point, we have not booked any provision for sharing that’s what you mean as the sharing component and as we looked at it, as I said at the upper end of our range incorporate that possibility but it’s not sure enough that we booked anything. Looking at this quarter, weather certainly helped and with half the year left, we kind of need to see where that goes.
Paul Ridzon: How is still our weather?
Steve Keen: July has not been strong like June. I haven’t seen any reports on where it’s stacked up against normal but certainly it’s not a record month like June was.
Darrel Anderson: Paul, it’s been a bit of a roller coaster. We started out warm, we got cool and now it’s warm again. So cool, cool relatively speaking but we’re – I think we’re headed into triple digits here in the next couple of days, so we’re headed back into warming trend it looks like so --
Paul Ridzon: And always kind of surprised to see a little bit of a disparity between kind of the impact of the new FCA mechanism. You had a nice pickup from the first quarter but the impact on the second quarter wasn’t that meaningful relative, is it something symmetry or?
Darrel Anderson: Right. I would say that compulsive [ph] it was a little surprising to me at first. I asked the same question but as you look at it, first quarter there was much more impacts on the residential component of our revenues, second quarter affected residential again although obviously not as much as it did downward in the first quarter but some of our pickup came out of the irrigation side and irrigation is excluded from the FCA. It’s not included as a component and so that the upside there was not – didn’t get offset with any sort of an FCA reversal.
Paul Ridzon: Okay. That makes sense. Is this FCA mechanism applicable to commercial and industrial as well?
Darrel Anderson: No. It’s our commercial, it’s our residential on small commercial, so it applies to both.
Paul Ridzon: Okay. Thank you very much.
Darrel Anderson: Thanks, Bob.
Operator: Our next question comes from the line of Ashar Khan with Visium Asset Management. Your line is now open.
Ashar Khan: Good afternoon and congratulations on good quarter.
Darrel Anderson: Thanks, Ashar.
Steve Keen: Hi, Ashar.
Ashar Khan: Hi, how are you guys doing? Could you see minus as we getting to that part of the year on the dividend policy if you can just remind us what is the rate of change that you have indicated as we enter into that season?
Darrel Anderson: Sure. Thanks, Ashar. Thanks for that question. This is Darrel. So as we have stated previously, our target payout ratio is 50% to 60% of sustainable earnings. And so we will be taking out up with the board at the September meeting and what we have stated publicly is that we anticipate an increase of at least 5% from where we are at today. And so we will be taking this discussion up with the board in September with the expectation that we will update all of you once we have a decision on that. And I think what’s important there is we continuing to take a look at the 50% to 60% of sustainable earnings, and that we will look at when we review with the board. Obviously we are having a good year this year, we had some one-off items incorporated into this year. This year, I think you know how our mechanisms work with respect to the ADITC. Those numbers are all based on year end equity and so as our equity grows, which it’s growing as earnings grow then that potentially has an impact for future years. So we will take all of that into consideration when we look at what that dividend recommendation will be in September.
Ashar Khan: Okay. And can I just ask you this dividend, do you look at I’m assuming the way you described it. You will be looking at like ‘16 earnings? Is that right because the dividend increases like three quarters for next year and then the one quarter this year, is that a fair way to look at it?
Darrel Anderson: We will look at where we are at this year. We will also take a look at looking forward as to what earnings look like going forward combining with what cash flows would like. So all of that will be taken into consideration in coming up with the recommendation to the board.
Ashar Khan: Okay. Okay. I haven’t seen your Q, so I apologize but any change in CapEx for ’16 or ’17?
Steve Keen: There is no change at this point. We are in the middle of reviewing future CapEx right now. We don’t have any update provided externally but that’s what we do this time of the year as we roll through ’15. We are taking a hard look at ’16 and beyond.
Ashar Khan: Okay. Okay. Thank you so much.
Darrel Anderson: Thanks, Ashar.
Steve Keen: Thank you.
Operator: Our next question comes from the line of Brian Russo with Ladenburg Thalmann. Your line is now open.
Brian Russo: Good morning, I’m sorry, good afternoon.
Darrel Anderson: Hi, Brian. It’s probably a busy day for you, so it might still be morning.
Brian Russo: Just wanted to understand the increased guidance versus the original guidance. Obviously weather wasn’t the strong weather in the second quarter, it wasn’t included in the original guidance and I’m assuming that the make-whole redemption impact on tax, that was included in the guidance but was the FCA adjustment included in the original guidance.
Darrel Anderson: Brian, in the original guidance, it was not. We knew that there was potential for a change, but we didn’t know what that change would be or when it would be have implication. So it was not there.
Brian Russo: Okay.
Darrel Anderson: We are aware of things going on with it but it wasn’t final. They didn’t become final until second quarter.
Brian Russo: Right. And so was that just weather and the FCA combined, it seems like your guidance – you are increasing guidance, it should have been greater than what it was. But then I guess it’s probably because you then run into the sharing bands and then kind of caps the upside, is that the way to look at it?
Darrel Anderson: Yeah. The upper end, remember, our sharing mechanism this year is operating from the first dollar. 25% of the company retained, 75% goes back to customers. So it’s a pretty steep hill. We have to earn to keep one once you hit that threshold. And on the FCA, I do want to correct this. There was an FCA competition included but it was basically the old methodology. We did know if there would be a new methodology and if there was what it would be at that point of time.
Brian Russo: Right. Okay. And can you maybe talk about the scenarios or the mechanics of the FCA in the upcoming third quarter. Could it potentially have a meaningful impact?
Steve Keen: At the very highest level, what’s it going to tend to do is take a quarter where you have much higher usage and it’s going to moderate that a bit, pull you back down because it will look at that weather impact and give some of that back to customers. Quarter like the first quarter, if it’s very mild, you are not going to see all of what we used to see in terms of a negative impact. You will get the moderation back as the FCA fills that back in. What it’s doing is looking and saying, did you really get the amount of sales that were expected in order to get you that increment of fixed cost or the partner recovery that isn’t purely an energy sale then you would have otherwise been entitled to and it moderates. You could also look at it and say you got too much. You got a big quarter, lot of sales that you didn’t anticipate, it will take a little bit out. So it is really a moderating factor the way it’s designed right now.
Darrel Anderson: And Brian, just as a reminder in the classes that it covers which is residential and small commercial, and so variations in those classes will have an impact versus the industrials and the irrigation customer type. They will not have an impact. But as we go into third quarter obviously depending on the makeup of our sales between those classes also have an impact on what FCA might look like.
Steve Keen: Right. And just to add to Darrel’s comment, those two – the items that were excluded, the industrial and irrigation, they weren’t included in the old FCA either. It’s never been applied to them. That’s not new.
Brian Russo: Okay, good. And then just to understand the base case and the RFP, it seems like you can bridge the gap between now and when board men [ph] align, it is commercially available with energy efficiency and demand response. There is no need for new capacity or new generation.
Steve Keen: That’s right, Brian. I mean that’s the way this last round of the IRP set up is. We are sufficient and we don’t have a need really until 2025. Brian, you have to factor in and Darrel mentioned it in his comments that there are assumptions that go into that including the growth assumption. And if those deviate, then the plan will move away from what the IRP is projecting. One thing I know we’ve talked about with you before is our IRP used to include a large load component and add for potential large load, where current IRP does not. And those kind of factors if those things change, you just have to be ready to be nimble around what the IRP says. It’s designed as a document to lay the foundation and as you move past your point of projection into actual, you have to moderate based on what we really experience. So what happens in our service territory over the next couple of years could change what the next IRP might project.
Darrel Anderson: And Brian, I’m going to add, there is still also the wildcard of 111D. We don’t know – we think that’s coming out soon. We will have to assess that and how that impacts. What’s in our current IRP and so while we don’t have a lot of near term action plans with respect to what’s in the IRP, we will have a chance as we put a new plan together over the next two years to digest all of those variables and see kind of where we land. But as you know, there is a lot of moving pieces right now especially with 111D might not end up, so that could have an impact also.
Brian Russo: And just it looked like according to the Q, the tax rate was 15% in the second quarter. What’s the assumption built into your EPS guidance?
Steve Keen: Brian, if you pull the impact of the redemption, it’s isolated in this quarter. So if you go to note 2 and pull that number out, you will see that the effective rate jumps up back above 20% which is kind of where it was last quarter. It’s actually in and around that, so for the full year it’s going to be a number closer to that range.
Brian Russo: Okay. And then lastly, are there any other tax studies or triggers for gains or losses for the remainder of the year that we should be aware of?
Steve Keen: Right now, Brian, I don’t believe we have anything. I’m looking at [indiscernible]. We do have our normal – there is an annual process of filing returns, getting our – and we are very current in how we get reviewed by the IRS. There is typically – once you get your returns done, we will look at that and there could be some impact out of that in the third quarter but there is no change in direction or new type of deduction or loss of deduction that we are anticipating right now. It would just be the fact that what actually happen might be slightly different than what got filed in the return as you get a reconcile with the IRS, but that’s the only thing I am aware of, now typically third quarter.
Brian Russo: Alright. Thank you very much.
Steve Keen: Thanks, Brian.
Operator: [Operator Instructions] That concludes the question-and-answer session for today. Mr. Anderson, I'll turn the conference back to you.
Darrel Anderson: We know that you all had a fairly busy day. I think there is a lot of you had stacked up calls, so we appreciate you guys taking the time, participating in our call this afternoon. We appreciate your continued interest in our company and look forward to talk to you guys in the future. Thanks a lot.
Operator: That concludes today's conference. Thank you for your participation.